Mar Martinez: Good morning, everybody, and welcome to the first half 2024 results presentation, which will be hosted by the CEO, Jose Bogas; and the CFO, Marco Palermo. And like previous occasion, we have scheduled this call at this time in order to make it easier to follow the large number of conference that are planned for today. Following the presentation, we will have the usual Q&A session open to those connected on the call and on the web. Thank you. And now let me hand over to Jose Bogas.
José Gálvez: Thank you, Mar, and welcome to everybody. Let's start with the highlights of the period. During the second quarter of the year, we saw a strong performance of the main business figures in line with our expectation, which enabled us to achieve an EBITDA of €2.4 billion, almost in line with the first half of 2023, while net income decreased 9%. These results that we will break down hereafter, together with the high visibility, we already have for the second half strongly support the achievement of full year guidance. FFO showed a positive evolution reaching €1.2 billion with a strong improvement compared to the first quarter, heavily affected by the Qatar award payment. All in all, FFO over net debt ratio stands at healthy levels. On Slide #4, a brief detail of the main operational KPIs performance. Gross CapEx slowed down by 16% year-on-year as a result of a more selected capital allocation criteria. As an indicator of the transition of our generation mobile to a greener one, we expanded our renewable capacity to more than 10 gigawatts, which, in turn, allowed us to increase emission-free production to 90% of total mainland production, up from 82% of 2023. The intensification of competition in a context of sustained low prices has led to a reduction in our customer base. However, we were able to retain higher-value customers while increasing the weight of our fixed price sales. In grids, we continue to progress on quality indicators. Energy losses improved by 0.4 percentage points, while interruption time retained flat -- remained flat. Slide #5 illustrated market dynamic evolution year-on-year. Average electricity price in the first half of 2024 were 56% lower than last year. Volatility has been extremely high during the period and resulted from the combination of several factors. In a context of stable commodity prices, renewable sources accounted for around 60% of the energy mix, causing a deflationary effect on pool prices. Solar photovoltaic production reached record level in Iberia while hydro availability increased significantly. On the other hand, mainland electricity demand displayed some signs of recovery, increasing by 1.3% once adjusted by weather and calendar effect despite the combined effect of mild weather, low industrial activity and energy savings initiative. Demand in Endesa's area decreased by minus 1.4%, minus 0.8% adjusted, hindered by the contraction of energy-intensive industrial consumption notably in chemical and metal activities, while the residential segment drop is mainly due to weather effect, which otherwise would have been rather flat. Finally, 2024 forwards for the remainder of the year are trading at €80 per megawatt hour, which transforms into a 60% -- €60 per megawatt hour expected average price for 2024. For 2025 and 2026, energy forwards are quoting at €70 and €60 per megawatt hour, respectively, recovering from the beginning of the year. Moving to Page 6 and here summarizing main regulatory topics. The challenges of the energy transition, electrification and digitalization of the economy are leading to the emergence of new demand from strategic agents and project, with a great potential to foster economic growth and employment. First, grids are set to play a key role in this new phase. Therefore, there is an ample consensus of the need to substantially speed up distribution investment to accommodate new connection. To this day, it has meant the forced rejections of a total of 30 gigawatt since 2020 at sector level. For all this reason, it is crucial to count on a fair and predictable remuneration scheme. Following the remuneration parameters implemented by other European countries, the average Spanish rate of return would yield between 7.3% to 8.7%. When it comes to the non-mainland system, one of the main concern is the technological obsolescence of the generation fleet. The current regulatory scheme does not adequately support investment needs and does not provide the basis for technological renewal. Finally, regarding nuclear, the government has approved a 30% rise in the so-called Enresa tax. This increase is in excess of 20% increase applied in 2020. We believe this is disproportionate and seriously threatens the viability of the nuclear fleet, and it is not aligned to the nuclear protocol. On Slide #7, a few more details on our generation mix evolution, where 78% of mainland capacity was represented by CO2-free technologies. Output during the period was marked by a significant increase in production from renewable sources, mainly thanks to higher hydro availability in the first half of the year, which accounted for a 63% output increase. And finally, regarding the partnership model. At this moment, we are in the final stage of concluding the sale of a minority shareholding of our operating solar portfolio, of which you will be informed in due course. Now on Slide #8, in the context of intensified competition fueled by the low prices recorded in the first half of the year, churn rate hit historical record highs, resulting in a contraction of our liberalized customer base. It is important to point out that we expect to revert this trend, not only due to the natural easing of the competitive scene as prices gradually increase, as indicated by the forward prices, but also through a series of commercial initiatives aimed at increasing the loyalty of the most valuable customers. In fact, we have already started to see the beginning of this trend reversal, with the most relevant losses occurring in April and May, while in June and July, they have been slightly lower. Liberalized power sales decreased 3% to 37 terawatt hour, mostly affected by the decrease of B2B index sales due to the lower industrial activity. Deep diving into our integrated strategy on Slide #9, sales to liberalized customers within the scope of our free power margin amounted to 35 terawatt hour, with 81% of fixed price sales backed by our CO2-free generation. Strong free power margin maintained at €58 per megawatt hour, which primarily derived from the following factors. First, the normalization in generation margin where the reduction in thermal activity is mitigated by a better performance of the inframarginal production. Second, positive result obtaining the management of our short position, recovering to more moderate level from an exceptional first half 2023. And third, some improvement on supply margin to around €18 per megawatt hour, mainly as a result of higher underlying prices and lower sourcing cost and better sales mix. Looking ahead, thanks to our hedging strategy, we have already secured most of our 2024 inframarginal output and 94% and 60% for 2025 and 2026, respectively, with an energy price reference around €60 per megawatt hour. Turning to Slide #10 on gas business. Total gas sales decreased by 20% as a result of a significant drop in customer demand and the sharp decrease of CCGT load factors due to the reduced thermal gap on the period. Gas unitary margin increased from around €1 per megawatt hour in the first half of 2023 to a more normalized around €2 per megawatt hour level with full year in line with full year forecast. Looking forward, volume hedged from our sourcing contract give us comfort not only to reach the 2024 margin target but also to provide protection for the coming years. And now I will hand over to Marco, who will detail the financial results.
Marco Palermo: Thank you, Pepe, and good morning, everybody. As previously mentioned, EBITDA reached €2.4 billion, practically in line with the first half of 2023, while net income came in at €0.8 billion at some 9% lower than previous year. It is worth highlighting the boost recorded in Q2, both in EBITDA and in net income compared to the same period of last year. Finally, FFO stood at €1.2 billion for the year-to-date with a sound performance in the second quarter after a weak start of the year. Turning now to the key drivers of EBITDA evolution, and I'm now on Slide 13. EBITDA decreased slightly by 2.5%, where conventional generation resulted normalized in contrast to the rest of the businesses that showed a solid performance, as we will detail in the following slides. As you know, the Structure segment in gray color on the chart includes the impact of the 1.2% extraordinary levy on revenues with a similar amount in both periods. Moving into a deeper analysis. We are on Slide 14. Generation and supply EBITDA reached €1.7 billion, down 7% compared to the previous year and showing a leveling off versus the 35% drop we showed in the first quarter. Looking at the moving parts of the evolution of the period. First, free power margin. Free power margin shows a normalization, as Pepe just commented on, driven by a moderation of thermal and short position margins, partially offset by renewable resources and supply margin expansion. Second, the gas business improved due to better results in the retail activity, while other margin declined primarily due to the absence of positive mark-to-market book last year, partially compensated by good performance in the non-mainland due to better fuel margin and the absence of previous year's negative resettlements. On Slide 15 now, grids EBITDA improved by 6%, driven by, first, a gross margin in line with past year and, second, fixed costs and other improvement mainly from the reversal of provisions for contingencies as well as from a reduction of maintenance and personnel costs. A few more details on the evolution of fixed costs. Now on Slide 16. Total fixed costs were 2% down versus last year, mainly explained by efficiency gains from cost control actions in line with our strategy, more than offsetting negative inflation and growth effect. In more detail, main lines of action focused on reducing O&M costs as well as personnel costs through a 3% reduction on the average headcount. The efficiency approach is spread across all business lines, and it is important to highlight the major effort made in staff and services, where operating costs share on the total fixed costs fell by 3 percentage points. Moving now to the analysis below EBITDA. I'm on Slide 17. Net income came in at €0.8 billion, 9% down versus last year or minus 12% at net ordinary income level once the reversal of the provision for contingencies was deducted. This number mirrors the dynamics at the EBITDA level and is impacted by, first, the D&A increases mainly due to the investment efforts carried out in renewables, distribution and retail and the revision of the bad debt provision. Second, the lower net financial result on the back of lower average gross debt, but in a context of higher interest rates. And third, finally, the tax rate reached almost 30%, heavily affected by the nondeductibility of the 1.2% tax booked in Q1. Moving to cash flow on the next slide, and I'm on Slide 18. FFO stood at around €1.2 billion, lower than last year, mainly explained by the working capital that was €0.7 billion negative, mostly affected by the payment of the Qatar award in Q1. Excluding this effect, it is worth noting the positive evolution of the underlying businesses throughout the quarter. A slight worsening of the regulatory working capital balance, since last year, we had an important cash in from pending non-mainland accumulated compensations while in 2024, it slightly increased. And lastly, a positive evolution of income taxes, cash outflows, while net financial expenses were in line with last year. Excluding the mentioned extraordinary gas award payment, FFO would have amounted to around €1.7 billion, higher than previous year and showing a strong cash generation throughout the period. On Slide 19 now, net financial debt came in at €10.8 billion, 4% higher, reflecting our CapEx effort as well as the payment of the interim dividend in January, while gross financial debt remained almost flat. Moreover, cost of debt rose to 3.6%, increases versus previous year as expected and starting to normalize after the peak seen in Q1. Finally, our strong commitment to a strict financial discipline has resulted in robust credit metrics, where we maintain leverage levels below 3x net debt over EBITDA and the FFO over net debt ratio at 40%. Let me now hand over to Pepe for the closing remarks.
José Gálvez: Okay. Thank you, Marco. As we have detailed throughout this presentation, first half results were very much in line with our expectation. Based on our forecast for the second half, we expect a smooth quarterly EBITDA evolution in the €1.3 billion, €1.4 billion range in sharp contracts to the volatility seen in the second half of 2023. All this allows us to confirm that we are fully on track to achieve our yearly guidance. And now in Slide 22, some final remarks to conclude. As pointed out in this presentation, effective management of the volatile market context has been essential for the business resiliency and the growth base recovery leveraged on our long proven and successful integrated strategy. In the current competitive environment, customer loyalty is our prime concern. We seek to optimize value creation, focusing on resources on high-end customers requiring more sophisticated products and services. We would like to emphasize that we are facing a unique opportunity to push the regulation one step further in order to adapt it to the ardent needs required by the energy transition in Spain. And finally, we confirm once again that the evolution of the business is strongly supporting the fulfillment on the full year target. And this concludes our first half 2024 result presentation. And I think we can now open the Q&A session.
Operator: [Operator Instructions]
Mar Martinez: Thank you. We start with the first analyst. That is Fernando Garcia from RBC.
Fernando Garcia: I have 3. First is I wanted to know on the social tariffs, what is the status of your claim there and if you have included this in your guidance, or that will be an incremental positive. Then the second question, could you comment on the Spanish supply competitive landscape and particularly about the recent increase of some of the -- obviously, our competitor market share like Repsol? And the final question, can you elaborate on your comment on the 7.3% to 8.7% returns? What are your cost of capital assumptions for that number? And you just -- and you can comment what countries are you looking at for the comparison in these figures.
José Gálvez: Okay. Thank you, Fernando. I will try to answer the second one, the Spanish supply, and then Marco will answer the other 2 questions. With regard to the competition, I should say that the competition has intensified in the first half 2024. And more precisely, I would say that in the second quarter of 2024. This is -- it was due to a reduced electricity and gas prices, which really encouraged small supply companies. The second reason, in my opinion, is the more aggressive activity from oil and gas companies with combined offers of power and fuel discounts. And the third reason would be the strong competitiveness of the regulated tariff, the cheapest during the second quarter. Having said that, I would like to say that the competition is not based on price discount. It's more based on push campaigns of the different agents. Margin remains more or less at healthy levels as final prices are not being reduced. So what we have seen mainly just because of these low prices, the aggregate strategy of the oil and gas companies is customers that have left as increasing the churn rate. And I would say that this kind of customer would be the lower value added for us. Nevertheless, what we are thinking about the second half of the year is the price rise. On top of the management action aimed at stabilizing the portfolio, we are talking about, as I have said, the loyalty and most valuable customer. With regard to the oil and gas companies, Repsol, I think Repsol is working very well, although it is possible, in my opinion, they are taking advantage of its position in the petrol and service station market by subsidizing electricity through discount on fossil fuels. Marco?
Marco Palermo: Thank you, Pepe, and good morning, Fernando. So on question #1, social tariff. Basically, on social tariff is something we are positive on, optimistic. And we think that this amount, there should be something around, I mean, we commented in previous calls around €150 million, should basically move us to the top of our guidelines. When it comes to the third question that you posed regarding the return that we were mentioning in the presentation, basically the exercise that we did was taking the regulation of some of the countries. And just to highlight, it's basically Italy, it's U.K., it's Germany, it's Belgium, Sweden, Austria and Finland, with the recent that -- they all recently somehow modified and elaborated the new calculations. And we took these methods and plugged in the Spanish parameters. So if we plug in the Spanish parameters into different regulations, so different countries, we come out with a range that is between 7.3% and 8.7%. That is, to us, the range where basically we should move if we take into account the situation currently nowadays. Thank you.
Mar Martinez: Okay. We move now to Javier Garrido from JPMorgan.
Javier Garrido: I have 3 questions, if I may. The first one is on your key unit margin guidance. Is it right that you were previously looking for €52 per megawatt hour and now you are looking for €54? And as an aside, is there any negative development elsewhere in volumes, for example, that can offset the positive move in the unit margin guidance? And second question would be on the net income guidance because you are very clear in guiding towards the quarterly EBITDA of €1.3 billion to €1.4 billion. And then do you think that with that sort of EBITDA, you are heading towards a net income number above the top of the range of €1,700 million in '24? And then the third question is if you can update us on your intention to agree on a partnership in solar. This is something that has been discussed for quite some time. Is there any issue? Is the project still ongoing? I mean you can let us know whether there is any obstacle or just a question of timing.
José Gálvez: Okay. Thank you, Javier. I will try to answer the last question, and then Marco will answer the 2 first questions. With regard to the partnership, as we have mentioned during the presentation, we are in very advanced talk to conclude the sale of this minority stake of our solar operating capacity. The aim is to complete the transaction shortly. I hope that -- I have said in previous presentation that we are in an ongoing process, but really, we are very close just to complete the transaction.
Marco Palermo: Javier, so just going -- question #1, on the free power margin guidelines. Yes, you are correct. Actually, previously, we indicated like €52 as a forecast for the full year. Now we are moving to €54 for the full year 2024. And actually, this increase is based on the fact that we are just selling slightly less to top and large. And of course, when you take off partially some of the sales on top and large, your marginality increases because the marginality on the other clients is higher than those ones. So basically, there are -- there is a slight improvement, but it's -- part of this is due to the quantities basically. And this partially positive somehow could be compensated by still weak marginality on gas because the marginality that we were seeing on the gas is still -- the demand is still very low. So we are forecasting that for the full year, I mean, let's see how it will evolve. If we go to question #2, that is on net income guidelines, we still confirm the €1.6 billion, €1.7 billion guidelines for the full year. Then we will see later on along the year. Thank you.
Mar Martinez:
Q - Jorge Guimarães:
Jose Ruiz: I have 3. First of all, in Slide #16, you show cost efficiencies of €66 million in the first half of the year. I understand that the provisions for restructuring you did at the end of last year were aiming to €70 million cost efficiencies. My question is, where does this improvement comes from? And secondly, if you can share with us the EBITDA from the short position in the first half? And thirdly, you show an evolution of industrial demand of minus 2.8%. And well, according to IEA forecast, there was expected to be a recovery in the industrial demand in 2024, '25. I was wondering, when are you expecting industrial demand in Spain to recover?
José Gálvez: Okay. Thank you, José. And I will try to answer the third question, and then Marco will answer the 2 first questions. The first thing that I should say, talking about our minus 2.8% increase in the industry demand, is that it is, for me, a consequence of what has happened in the last year. If we take the year 2022 and 2023, this drop in the industry demand could be lower than the ones in the rest of Spain. So it is more or less a balance that is happening. But it is true that the industry in Spain has been reduced during the last years. And one of the reasons is the bottleneck of the grid that we have. I think -- and I really think that today, Spain is facing a unique opportunity for reindustrialization and attracting new industry in the process of electrification of demand with potential positive impact on economic growth and also employment. But these require investment in modernization and reinforcement of the grid. The grid will play a key role in network. We have a strong need for a significant increase in this investment. So I think that the government and the regulator is aware of the situation. The real thing is that we are in open discussion with the government and the regulator and how to improve the remuneration of the distribution and how to streamline the procedure just to avoid these bottlenecks looking for the increase of demand. I think that we have, as I have said, a unique opportunity in Spain just to do that. And for sure, we will get this position.
Marco Palermo: Thank you, José Ruiz. Thank you very much for your first question regarding the contention of costs because there is a huge effort of the company behind that. As you can see, basically, it's -- we are in line, I would say, probably slightly higher of what we were thinking of doing, if you see our slide -- in Slide 16, you have 2 chapters there. There is the 1 of the cost of personnel, where basically we are concentrated on the queue -- on the quantity because the price is what it is with inflation. So we have to work on the number and the headcount, while, of course, on the O&M costs, we can somehow work on squeezing costs, and we are working on both levers. And going to question number two, the short position margin for the first half of 2024 is approximately €150 million, and we expect the same coming for the second half of 2024. Thank you.
Mar Martinez: Okay. We move now to Manuel Palomo from Exane BNP.
Manuel Palomo: I've got 3. The first one, sorry, to insist on it, but it's on the Spanish electricity market, and your market share because in the last couple of quarters, you have lost more than 200,000 clients, of which almost all of it, it's liberalized market. So my question is, what is your expectation for the coming quarters? And whether you could please detail your commercial actions in order to avoid these loss of clients? And I'm asking this also longer-term after reading some articles this week about one of your competitors, Octopus, aiming to reach 2 million clients by 2027. Second one is on gas margins. In your CMD, the assumptions were that there was going to be a huge margin recovery from minus €2.5 megawatt hours in '23 to €7 megawatt hour in '26. Part of it is already seen. We are currently at €2 now if I'm not wrong. So could you remind us what are the drivers behind such assumption? And I wonder whether this assumption is still valid under the current gas environment. And also just a final question, whether these margins could be probably or negatively impacted by the loss of customers in gas, which is around your 30,000 year-to-date. And lastly, I'd like to ask Marco, if possible for an update on the target on the guidance for the net debt for the full year and also financial targets. Thank you very much.
José Gálvez: Okay, Manuel, thank you very much. I will try to give some color to the first question, and then Marco will answer the rest of the question. As I have said, what we have seen during -- especially the second quarter of 2024, but in general, during the first quarter -- during the first half of 2024 is a very special situation with very reduced electricity and gas prices. Let me remind you that in April, if I'm right, the pool price was €14 per megawatt hour. We have had now -- the average is €39 or something like that. And we are expecting for the total -- the full year 2024, we are expecting something around €60. That means that in the last quarter of this year, we will reach us forward set €80 per megawatt hour. These very low prices have been, for me, the main reason, just because, as I have said, encouraged small supply companies and also the regulated tariff has been the cheapest during this second quarter being a very strong competitor, let's say, that for the electricity and also the gas. On top of this, as I have said, it was the activity from the oil and gas companies, with combine offers of power and fuel discounts. What we are expecting, as I have said, for the rest of the year and especially for the fourth quarter of the year is an increase in prices, and then we will see a huge reduction in this competition, in my opinion. What we have launched is a series of management actions aimed just to stabilize our portfolio, focusing on, on the one side, in the most valuable customers with offering them product and services. And also, we are focusing in the loyalty of our customers. So we expect a recovery or at least a stabilization of our portfolio -- customer portfolio in the second half of the year. And then Marco.
Marco Palermo: Thank you, Manuel. So going to question #2 regarding the gas margins. Yes, we confirm actually that we have a target for this 2024 over €2 megawatt hour, that is slightly higher than €2 megawatt hour. And actually, yes, in our business plan, we had approximately €7 in 2026. Those -- this increase basically comes from the wholesale. And on the wholesale as we said, we had a very high percentage of our sales that are somehow closed for 2025, slightly less on 2026. That is where we highlighted that there were somehow a risk depending on the final prices that we would see in 2026. So basically, I would say that the risk is that, that €7 could be read as a €5.5 or something like that. And the question that was -- is this -- this reduction in clients, does it affect then the gas margins? Well, actually, no, because what we are seeing is that the clients that have more than one product contracted are the most resilient one. So basically, the client that we lost were not the one that were actually buying bundled products. When we go to question #3, that was actually the net debt for the full year and financials. We're -- our guideline for the 2024 is ending with a net debt approximately of €10 billion, of course, considering the sale of the 49% of our solar portfolio to [indiscernible]. And our financial costs, actually, we had approximately €250 million in this half, and we do see something similar for the second half of 2024. Thank you.
Mar Martinez: Okay. Next set of question comes from Rob Pulleyn from Morgan Stanley.
Rob Pulleyn: I'll have one question, given lots have already been answered. And so I was just wondering on solar. Obviously, you've slowed down the CapEx, the capacity additions, and you are looking for this farm down, which sounds imminent. I was wondering, conceptually, what would it take to reinvest in Spanish solar given things? Obviously, combined cycles. I would love to hear some color on that.
José Gálvez: I will give you some color, and then Marco will answer or will go deeply in the question. My first impression is that renewables are increasing higher than the demand is increasing. So that means that we have a lot of solar production, and that is the reason why on top of the very high hydro that we have had, this is the reason why we have seen these very low prices in this first half of the year 2024. But the problem is that there is no correlation between the increase in demand and the increase in renewables. So the solution for me is very clear, just to invest in network, which is the bottleneck because we have a lot of industry data centers, et cetera, that we had to reject just because we don't have capacity in the network. Let me remind you that in the draft PNIEC that we have today, we could see that it is forecasted an investment of €5.3 billion per year in transition and distribution networks. And the real thing is that today, with the cap that we have and on top of the regulation and the remuneration of the grid, we are able only to invest up to €2 billion to €2.5 billion. So we need ardently just to remove this bottleneck and to give the possibility to increase the demand. On that case, it could be -- we will see the possibility just to continue investing mainly in solar. Today, it's very difficult just because of what I have told.
Marco Palermo: Yes, Rob. Sorry, only just to add a couple of consideration. Basically, what does it take? Well, Pepe told you, it takes you to unbottle the demand because, of course, I mean, we would need more production if we know that there is more demand there. And second, to us, let's remind that we still have the phaseout of the nuclear. So I mean also clarity on that, I mean, this is -- we have to replace that capacity. So I mean we can somehow postpone some of the investments, but they're still there because at the end, they had to cover that production that will be sooner or later phased out. Thank you.
Mar Martinez: Okay. Thank you. And we move now to Alberto Gandolfi from Goldman Sachs.
Alberto Gandolfi: The first question is a curiosity. I think the statistic you showed about the 30 gigawatt of connections, you couldn't comply with on the network side. Can I ask how much of the 30 gigawatt was actually genuine incremental demand, I don't know, manufacturing, data centers? Just trying to gauge where power demand would be in Spain today next year, if actually you had proper returns in the network. The second question is a bit more specific on the churn. Very high churn in Spain. In a way, if I look at the churn, I would say you're only losing about 100,000 customers a quarter, but that probably means you're out there trying to acquire new customers, or the customer loss would be even deeper. So can you please tell me how much does it cost to acquire a customer in Spain right now? What is the EBITDA in the first 12 months, I guess, negative? And where do you book customer acquisition costs nowadays? Is it in your P&L? Or do you capitalize it? And the last question, it seems -- maybe I'm wrong, that in your network division, you were about €100 million in terms of EBITDA trailing above last year and about €150 million above 2022. A, is this correct? And b, can you perhaps maybe detail the drivers underpinning this?
José Gálvez: Okay, Alberto, I will try just to answer what I know about the first question. What we have seen, talking about the sector level, is the 30 gigawatts. Well, this is 15 gigawatt in the case of Endesa. And in the case of Endesa, I should say that more or less, if I remember well, something about 4 gigawatt comes from the data centers. Another 3 to 4 gigawatt for strong request of the industrial companies working now in Spain, trying to increase the demand that they have. And another 2 to 3 based on the recharging points of the electric vehicles. And the rest, more or less, I don't remember now. But that is what we have rejected. And well, for me, it's something painful because we have an opportunity, a unique opportunity in Spain. In any case, I am -- or we are optimistic about the future of the electricity sector in Spain because we know what is the problem, what are the solutions. Let me say, we -- I think that we are in the best sector, in the best moment in Spain. The only thing that we should really resolve is this kind of problems, in my opinion, linked to the regulation that we have today. Marco?
Marco Palermo: Thank you, Alberto. So going to question #2, on the churn. Yes, you are correct. Of course, we lose on one side, and we acquire on the other side. Basically, and I actually lock to the second part of your question, that is, how much does it cost? Well, it depends. The channels, on average, the cost is around €70, €80 per client, but it really moves a lot depending on what is the channel you use for that. So what actually we are doing is trying to use, of course, the cheaper channels that -- but not because they are cheap, but because actually, they are also linked to a better loyalty of the clients that you acquired with. So the return of that investment is much, much higher. And for us, the acquisition of a client, actually, it is capitalized. So you see it in the D&A, in our profit and loss. And generally, I mean, it lasts -- we put approximately 5 years. So this is basically the situation of the market. We could probably do something different if we push more for the push channels, but they are also more expensive, and we see less merit into doing that. And by the way, with forward and prices that looks like going up, we also foreseen probably a slightly less competition in the second part of the year. When we come to question #3 that is related to distribution, actually there, I would say that yes, the reason increase when compared to 2022 and 2023, but it's mostly because, as you know, we had some negatives in 2022 when it comes to the regulator recognizing all our costs. It's always very painful, as you know, in the current system. Actually, every expense is questioned and so on. So basically, we had to take this into account when it happens. And then, of course, and putting also provision there. And then eventually, when the situation changes, correcting the numbers. And that's why you are seeing this -- somehow this increase in this improvement into the distribution. Thanks.
Mar Martinez: Okay. Thank you. Next question as from Javier Suarez from Mediobanca.
Javier Suarez: Three questions that has to do, I guess, with scenario and strategy. The first one is linked to some previous questions and is related to how many years of infra investment do you think are needed to prepare the system to integrate renewable energies, artificial intelligent device and data center? I'm trying to get here a sense of -- the sense of urgency to accelerate infra's investment to create a virtuous circle on the Spanish electricity system. Second question is on, I would be interested on your view for the value of new storage investment in the current Spanish electricity system and which are the key variables that determine the profitability of those investments. And the third question is, if you can share with us your proposal for the improvement in the remuneration for non-mainland systems in Spain.
José Gálvez: Okay, Javier, I will give you color of all the questions, and then Marco will be more specific. First of all, well, this virtuous circle, well, in my opinion, as I have said, we are in the best sector, in the best moment. So -- and we have very clear -- and I think that also the government and the regulator has this view. So I really -- I am optimistic about this. The real problem is that we need to boost network investment. To do that, there are 3 very important things that we are discussing openly -- discussing with the regulator and the government. The first one is the cap that we have today. As I have said, the second one is the financial remuneration. And the third one in general is the methodology of the remuneration. But I think it is very clear where is the problem. And it is very clear how we could resolve this problem, at least in our opinion. So I feel comfortable in this point. When you talk about the storage investment, what I should say is that at least in -- with our numbers, what we see is 2 problems. One of them is that the capacity of storage is 2, 3, 4 hours, not more. That really resolved some problems, especially the hybridization of the solar, the renewables in general, but we need to look for perhaps is pumping -- more pump in the solution in the long-term than these batteries. On the other hand, the problem that we have, at least with our numbers, is that up to now, it is needed subsidy that I would say something around 20% to 30% of the investment in batteries. Well, that is something that perhaps in 1 or 2 years, it could be resolved in terms of the hours of storage and also the cost of the batteries. We will see. I don't remember the third question. Non-mainland, okay. Well, well, we are very happy with this new situation in which the system operator has really say that it would be needed 1,400 more or less megawatts in the island. That is something that we have claimed for in the last years. We will see -- we saw an urgent need to replace, to modernize and to incorporate new generation capacity. These concurrence auction has been recently called, and we should present our offers, if I'm right, the 4th of September. Well, there are many things to think about in the sense that, as you know, just because we have more than 40%, we are not able -- we don't shut down similar capacity to go with this project, but we are thinking in life extension, in gas switching and other possibilities, looking for the best cost in the future. The lower, the best, the lower cost in the future for the island in general and especially the Canary Islands. Marco...
Marco Palermo: I don't know if it is easy to add something to what you said, I guess, that we can probably go to the next one. Thank you.
Mar Martinez: Okay. Thank you. Jorge Guimarães from JB Capital is back, hopefully. Can you hear us, Jorge?
Jorge Guimarães: I do. The first one is the clarification of the guidance and the one-off effect. I would like to understand whether the effect from the social tariff is or is not in the guidance, meaning if there is no social tariff, what would be the midpoint of the guidance to be considered? And the second one is related to this, just to confirm to what year are -- to which year of social tariffs are we talking about? And the second one is also related with the regulation in Spain. There have been some news recently or some comments saying that the government could extend the revenue tax without improving the deduction. So I would like to hear your view on this because I understand your guidance is then without an extension of the revenue tax and much more without an extension and without deduction. So what is your view on the revenue tax going forward?
José Gálvez: Jorge, I will try just to answer the second question in the potential extension of the 1.2% levy. The first thing that I should do is that the situation has essentially not changed. With the current law and the royal decrees, what we see is that this levy or tax only applies to the years 2023 and 2024. That is the first thing. The second thing that I would say is that the government initial aim was to approve the 1.2% special levy, making it permanent. But adding deduction related to investment in energy transition to reduce the impact. The government proposal for deduction based on energy transition CapEx makes sense for us, but we never knew the details, or details are still unknown. On top of this, the government has recently included this levy in its objective. But government will still need a majority to approve this in parliament. We will see what happen. In any case, as you know, all affected companies have appealed the current 1.2% levy in the courts. Just -- and I think that we have a strong legal case. But in any case, the processes are always lengthy, and it may still take years to resolve. But the real thing is that this levy is a comparative and competitive disadvantage under European law. And it hampers our ability to invest and successfully meet the demands on energy transition. So we will see what happen.
Marco Palermo: Thank you, Jorge. Welcome. So basically on question #1 regarding the social bonus, the social bonus is a one-off -- would be a one-off. It is something related to the period 2017, 2021. And in our guidelines, the guidelines that we had outside, it's between €4.9 billion and €5.2 billion. So it's €300 million. So when we give our guidelines, basically, we are in the middle of the guidelines. In this case, the social bonus and estimation of the social bonus would be around approximately €150 million. So with this, this will bring us to the upper range of the guideline. So I hope I answered you. Thank you.
Mar Martinez: Okay. And now Jorge Alonso from Bernstein.
Jorge Alonso: I just have a couple of them. The first one is related to the fixed price sales. We have seen an increase of 6%, and I would like to know your view about what has driven these because if I'm not wrong, you were not expecting such a big increase in -- especially on the fixed price sales. And if that could -- if that trend keeps on, if that could accelerate the investment in renewables or trying to get these PPAs as procurement in order to expand the margins? And on that regard, if -- your view on the PPA market in Spain. And if you think that it's still quite difficult to find these PPAs on the procurement side, if you would be considering just to manage the short position that you have been doing up to now or accelerating the installation of renewables, pushing maybe more for wind rather than solar. If you think if this is feasible.
Marco Palermo: Okay, Jorge. So thank you for your question. Basically, here, yes, we are seeing resilience of our clients and our sales as fixed price. Actually, I mean, we do not have to forget that in any case, we added almost 1 gigawatt of capacity since June of last year. Now yes, I mean, of course, adding -- now we are basically working with a short position on 2024 that is approximately 13 terawatt hour, 14 terawatt hour. And our business plan was actually trying to close this gap, almost close this gap at the end of 2026 using a mix, as you were correctly mentioning. On one side, doing more renewables. And on the other side, also trying to secure PPAs in order to cover this gap. Now regarding renewables, I mean, yes, the idea is we are still developing. And the idea is just trying also to shift the bid in technology towards wind. But it is -- basically, this is not so easy because as you have seen, there is a lot of potential delays related to legal challenges that could be posed that somehow are delaying projects here and there in the Spanish territory. We also have in that also project in Portugal. Thanks, God. So basically, we -- yes, we are trying to do that shift. And when it comes to PPA, actually with -- we were counting on the fact that -- of probably looking and finding opportunities for lower-cost PPAs in the market, but it turns out that there is a level where actually nobody is ready to transact because the price is probably too low just to guarantee the developers their remuneration. So we have been not finding, frankly, many opportunities. And that's why we come back to your point that, of course, we continue to develop our opportunities and our project on renewables in order to be ready to have energy for the increase of demand that we hope will come not probably in a matter of months, probably it will be a matter of years, but just to be ready for that. Thanks.
Mar Martinez: Okay. This was the last question of the call. And we have revised all the questions received by e-mail. And there is only one question left that comes from Stefano Gamberini from Equita. And he's asking about the average hedging price in 2026 and how does it compare with the business plan assumption.
Marco Palermo: So on that, thanks, Stefano, for your question. And on that, the reference for 2026 is approximately €65 per megawatt hour. We're just on, during the call, mentioning the €60, but in reality, it was -- yes, it was €60. Yes, I would have not said because it's my CEO. It's -- so it's in reality, €65 per megawatt hour. Thanks.
José Gálvez: No, but I am very happy because I have seen that my CFO is really looking forward. But I say, yes, it was a mistake. And a colleague told me that you have said €60 instead of €65. Well, excuse me for this error.
Mar Martinez: Thank you very much. Now yes, we are done with all the questions received. And well, just to thank you for your participation and recall that the investor team is available as always in case you have any other further question. Have a nice day if we don't have the opportunity to have a fantastic summer break. Bye.